Operator: Good day, and thank you for standing by. Welcome to Alarm.com's First Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. You will then hear an automated message advising your hand is raised. To withdraw your question, please press star 11 again. Please be advised today's conference is being recorded. I would now like to hand the conference over to your speaker today, Matthew Zartman, Vice President of Investor Relations. Please go ahead.
Matthew Zartman: Thank you, operator. Good afternoon, everyone. Joining us today are Steve Trundle, Alarm.com's CEO, and Kevin Bradley, our CFO. During today's call, we will be making forward-looking statements, which are predictions, projections, estimates, or other statements about future events. These statements are based on current expectations and assumptions and are subject to risks and uncertainties that may cause actual results to differ materially from our current expectations. I refer you to the risk factors discussed in our quarterly report on Form 10-Q and our Form 8-Ks, which will be filed shortly with the SEC along with the associated press release. This call is subject to these risk factors, and we encourage you to review them. Alarm.com assumes no obligation to update these forward-looking statements or other information that speak as of their respective dates. In addition, several non-GAAP financial measures will be discussed on the call. A reconciliation of GAAP to non-GAAP measures can be found in today's press release on our Investor Relations website. I'll now turn the call over to Steve Trundle. Steve?
Steve Trundle: Thank you, Matt. Good afternoon, and welcome to everyone. We are pleased to report financial results for the first quarter that exceeded our expectations. SaaS and license revenue in the first quarter grew to $163.8 million, and adjusted EBITDA was $43.5 million. Our stronger-than-expected SaaS results were driven by contributions from our growth initiatives in the commercial and energy markets and higher revenue retention on the residential side of the business. We did not see any material changes to demand during the quarter due to the evolving macro environment. Before going much further, I'd like to welcome our new CFO, Kevin Bradley. Kevin has worked his way up through our finance organization and has been with the company since February 2009. For the last eight years, Kevin has been our Vice President of Financial Planning and Analysis. He has been the key financial partner for our business leaders and has been instrumental in shaping all aspects of our financial strategy. Because he already has a deep understanding of our business models, markets, and financial levers, he has been able to hit the ground running since becoming our CFO. I look forward to continuing to introduce Kevin to our investors and analysts over the coming months. During the quarter, I attended ISC West, our largest security industry trade event. This year, we unified our booth presentation with the full breadth of our residential and commercial solutions, including OpenEye, shooter detection systems, and checked. One positive takeaway from the event was that most of the service provider partners I spoke with are steadily expanding their use of our commercial services. They expect Alarm.com to continue to innovate for this market, which enables them to gain operational efficiency through more standardization around our commercial offerings. And as more Alarm.com services are installed into a given commercial site, we see improved revenue retention, which is currently 98% for our commercial subscribers, well above our consolidated revenue retention target range of 92 to 94%. Turning to our video solutions, I want to provide an update on the 729 floodlight video camera product as it has now been in the market for just over a year. We designed the 729 to leverage our video analytics-based proactive deterrence capabilities and our remote video monitoring software. Since launch, our partners have increasingly incorporated the 729 and associated services into their offerings. This product is being installed into nearly 4,000 properties per month now, and we're seeing strong attachment rates of our video analytics services. Over 85% of installed 729 cameras also have a subscription to access our proactive deterrent solution, called PerimeterGuard. Our video services are also beginning to take more of a hold in the international markets. During the first quarter, 30% of new international accounts included video, about twice the rate of the same period a year ago. To build on that progress, we will upgrade our entry-level video camera later this year. The new 516 Wi-Fi camera will offer even better capabilities at a lower price point and should further broaden the adoption of our video analytics service in residential markets, particularly internationally. I'll now turn to an update on EnergyHub. As a quick reminder, EnergyHub supports utilities as they adapt to the long-term structural shift towards further electrification. Demand for EnergyHub's platform is growing as EV adoption, the proliferation of AI data centers, and extreme weather all stress the grid. In addition, electricity supply is increasingly difficult for utilities to manage and forecast when intermittent renewable energy sources make up a growing portion of electricity production. EnergyHub provides load flexibility solutions for managing demand and matching it to supply in real-time. In the first quarter, EnergyHub announced a strategic partnership with General Motors Energy to integrate GM EVs and home battery storage solutions into the EnergyHub ecosystem. Through this program, owners of eligible GM electric vehicles will be able to receive meaningful incentives from their local utility to enroll in flexibility programs managed by EnergyHub software. This new partnership with GM adds to the relationships that EnergyHub has with other EV makers, including Tesla and Toyota. Over time, we expect managed charging will significantly contribute to EnergyHub's market position and strategic value to its electric utility partners. Lastly, I want to touch on tariffs briefly, which Kevin will expand on. US tariff policies are obviously difficult to predict, and the trade environment can substantially change with little warning. But we are in a position to effectively manage the 10% baseline tariffs that are currently in place. We have also significantly improved and diversified our supply chain over the last several years. Currently, less than 10% of our hardware revenue is derived from products shipped from China. In closing, I'd like to thank our service provider partners and our Alarm.com team for their dedication, and our investors for their ongoing support. With that, I'll turn the call over to Kevin Bradley for a review of our financial performance. Kevin?
Kevin Bradley: Thank you, Steve. I appreciate the opportunity and the confidence that you and the board have placed in me. I want to share a little bit about my background as I start the process of introducing myself to our investors and analysts. Sixteen years ago, I was Alarm.com's twenty-seventh employee, settling into the company as the founding finance team member at my desk in a storage closet that also happened to serve as a hardware test lab for our engineers. Over the years since, I've been fortunate to work with Steve and many other talented people to help shape the company's strategy as it moves through various stages. Prior to our IPO ten years ago, I stood up a formal FP&A function. As part of this, I created and have continued managing our earnings guidance philosophy throughout our time as a public company. Thanks in no small part to his mentorship, I have been able to become a key partner to Steve and the rest of the executive management team here, providing a bridge between finance, strategy, and operational execution. I'm thankful to have the support of a strong finance and accounting team filled with tenured colleagues. I also want to thank Steve Valenzuela for his support, particularly through the smooth transition process. I'm excited to engage more directly with Alarm.com's investors going forward. I am happy to report a strong start to 2025 on my first call. SaaS and license revenue grew 9% year over year to $163.8 million, exceeding our first quarter guide of $160.3 million. We exceeded our guidance due to a handful of structural dynamics. EnergyHub was a primary contributor to our beat. As Steve indicated, EnergyHub's distributed energy resource management programs continue to grow rapidly, and enrollments in Q1 exceeded our expectations. Alarm.com security account creation activity in both the residential and commercial markets met our expectations during the quarter. We did not discern any material changes in account origination activity during the quarter due to deteriorating consumer sentiment or recession fears. During the first quarter, total revenue grew 7% year over year to $238.8 million, and total gross profit grew 9.4% year over year to $160.6 million. Total operating expenses were $130.9 million during the first quarter. Excluding stock-based compensation and other items we adjust from G&A for non-GAAP purposes, total operating expenses were $114.4 million, a 4.6% increase year over year. R&D expense in the quarter, inclusive of stock-based compensation, was $68.4 million, up 3.7% year over year. Excluding stock-based comp, it was $62.4 million, up 6.4% year over year. We are off to a nice start in driving some of the operating margin that we signaled late last year. GAAP net income grew 18.4% year over year to $27.7 million, and our GAAP EPS per diluted share was 52¢. Non-GAAP adjusted EBITDA grew 17.5% year over year to $43.5 million. Non-GAAP adjusted net income grew 11.3% year over year to $30.4 million. A combination of revenue growth, revenue quality, and operating leverage contributed to our profitability. Non-GAAP adjusted EPS grew 8% year over year to $0.54 per diluted share. We ended the quarter with $1.19 billion of cash and cash equivalents and produced $17.9 million of free cash flow during the quarter. I want to speak for a moment about the tariff environment. In addition to significantly reducing the company's exposure to products originating from China since 2018, we proactively built some inventory in late 2024 and early 2025 prior to liberation day. We have approximately nine months on hand, which is higher than we would carry in normal times. Outside of China, we are operating as if the baseline 10% tariff will remain in place. We anticipate passing that tax through when we start selling inventory imported under the new tariff policies. Our guidance incorporates this plan. To the extent that some component of our hardware revenue becomes a pure pass-through, gross margin will be diluted slightly even though gross profit dollars will remain unchanged. Related to this, let me share some thoughts on price elasticity. We and our service providers have experienced a period of hardware cost inflation in the past, specifically as a result of the global supply chain disruptions in 2022. Over a twelve-month period, the impact on Alarm.com's hardware pricing at that time exceeded 10%. We did not see meaningful demand deterioration. We have long-term symbiotic relationships with our service provider partners. Increasing prices is not a step that we take lightly. But given our experience in 2022, we think it's possible that we can approach the market together and pass through the current baseline tariffs without dramatically impacting demand. We're also mindful to consider that the macro backdrop in 2022 was different from today. We are therefore allowing for a little bit of a wider outcome in our revised hardware revenue guidance. I'll turn now to our financial outlook. For the second quarter of 2025, we expect SaaS and license revenue of $167.2 million. For the full year of 2025, we are raising our expectations for SaaS and license revenue to between $675.8 million and $676.2 million, an increase of $4.5 million over our prior guidance at the midpoint as a result of the structural outperformance from Q1. We are now projecting total revenue for 2025 of between $975.8 million to $991.2 million, which includes estimated hardware and other revenue of $300 million to $315 million. As I noted, we are implementing a wider range here as we navigate tariff and macro uncertainty. We are also raising our estimate for non-GAAP adjusted EBITDA for 2025 to between $190 million and $193 million, an increase from our prior guidance of between $188 million and $192 million. Non-GAAP adjusted net income for 2025 is projected to be $131.5 million to $132.5 million, or $2.32 to $2.33 per diluted share. This is an increase from our prior guidance of $130 million to $131 million, or $2.28 to $2.29 per diluted share. EPS is based on an estimate of 60.5 million weighted average diluted shares outstanding. As a reminder, this share count includes a full year of dilution associated with our outstanding convertible notes on an if-converted basis of 9.125 million shares split across two issuances. We currently project our non-GAAP tax rate for '25 to remain at 21% under current tax rules. We expect full-year 2025 stock-based compensation expense of $40 million to $43 million. In closing, I'll share my conviction that Alarm.com is strongly positioned for quality growth in the large and often underpenetrated markets that we serve. The executive management team shares a long-term vision and has built a company-wide culture of collaboration, innovation, and humility that will drive Alarm.com's long-term expansion. I am humbled and thankful to continue contributing to it. With that, operator, please open the call for Q&A.
Operator: Thank you. Our first question comes from Matt Bullock with Bank of America. Your line is open.
Matt Bullock: Great. Thanks for taking the question and looking forward to working more closely together, Kevin. My question is on commercial. Great to hear about the gross retention in that business line and the positive video attach rate trends. Sounds like you're landing larger. Could you maybe talk for a moment about recent average revenue per account trends in commercial? Then give us an update on the upsell opportunity still there?
Steve Trundle: Sure. Hey, Matt. This is Steve Trundle. Yeah. The reason we think we're seeing that retention metric look so positive is really a land and expand type of dynamic where we get into a site, let's say it's an access control location, and they install four doors, and then a year goes by, two years go by, the business expands, and they want to install another four doors. We add to the account with that addition to the access control system, then maybe they want to add a video system. So the result of that is we're getting some positive dynamics on the ARPU and not only on new accounts where we're installing more, but also some uplift on the base. The trend on ARPU there is upward. I think in the past, we've commented that the average ARPU is more than twice the average ARPU that we see on the residential side, and in certain situations, as we get into bigger locations, it can be many, many, many times the residential ARPU.
Matt Bullock: Super helpful. And then one just quick follow-up if I could here. Sounds like the plan is to pass through some pricing on the hardware side. Can you just help us think about quantifying revenue contribution from those tariff-related pricing increases for 2025? Embedded in the guide?
Kevin Bradley: Sure. Yeah. Hey, Matt. This is Kevin. So we know, we started with the fact that we were planning for about 300 plus million dollars of hardware revenue at a 25% gross margin-ish. So a 10% cost increase would equate to about a seven and a half percent price increase. If you applied that to the full 300, it would lead you to something around $20 million on an annualized basis. And then we sort of backed out the fact that we're not doing this until halfway through the year and not everything that we procure and sell comes from overseas. So you get to something that's sort of a little bit less than that as an impact on the high end. You could think about it as sort of a difference between what our midpoint used to be and what the high end is now.
Matt Bullock: Really helpful. Thanks, Kevin.
Operator: One moment for our next question. Our next question comes from Adam Tindle with Raymond James. Your line is open.
Adam Tindle: Okay. Thanks. Good afternoon, and congrats to Kevin as well. Looking forward to working with you. Kevin, I wanted to start with you if I could. Obviously, this quarter, if I'm looking at the SaaS revenue, we had a strong start, I think, 9% close to 10% in the quarter on that metric. And then if we look at guidance for Q2, I think it's closer to 7%. And then implied in the back half of the year, kind of mid-single digits, to get to the full year. If I think about that trajectory, from a SaaS growth standpoint, what are the key factors driving the moderation in growth as the year progresses? I'm looking at the year-over-year comparisons, and they're kind of similar throughout the year, so I couldn't blame comps on that. And I wonder if you could also maybe tie in your expectation for ADT embedded in that. I think previously, Steve had talked about 200 basis points. I wonder if that's changing at all.
Kevin Bradley: Yeah. Sure. I'll address this, and then maybe turn it over to ADT or Steve to see if he has any color on ADT. I think if we start with what the composition was of the Q1 beat, you know, Steve mentioned in his prepared remarks, as did I, that EnergyHub had a strong quarter in their thermostat demand response programs. You could think about that as being about half of the Q1 outperformance probably. And as a reminder, that business model is annual and recurring in nature as opposed to monthly and recurring in nature. So, you know, that will show back up again next January, but it won't reoccur in future quarters. So that's one of the reasons that it sort of steps down principally because that performance will not reoccur in future quarters. And then the other thing is, you know, we mentioned that the revenue retention rate, you know, for the 95%. You know, if you applied that to 1% of retention on, you know, $670 million of revenue, it's about $67 million a year. The other half of our overperformance in Q1 was basically that. The way that we're modeling right now is that that metric returns to our historical range, which would be the other primary reason that you see some of that compression come out as well as us taking a little bit, you know, you see the wide range on hardware revenue guide, and we took a little bit of conservatism on the line. Not much, but just to allow for some possible fluctuations in demand as the year goes on.
Steve Trundle: And then, yeah, I'll jump in on ADT. I guess I'd make the point that on an annual basis, we went ahead and took the implied growth rate up by about 50 basis points coming out of this quarter. But with ADT, Adam, not a lot's changed there since last quarter. I haven't seen much different. There was nothing related to ADT that impacted either our beat in the first quarter or our new guide for the year. So we're sort of following the model at this point, and then watching the public remarks to kind of get updates on where they are with deployment. But I think the metrics we've given there in the past in terms of how we've modeled them are still the same today.
Adam Tindle: Got it. Okay. Yeah. That makes sense. And, Steve, maybe just a follow-up for you just continuing this topic. On a bigger picture level. If we look at the annual growth rate of the SaaS piece of the business, it's, you know, kind of in that six or 7% range. And acknowledging that you guys have done a good job of outperforming that. But if we kind of think about that, how should investors think about that level of growth? Is this, you know, kind of a business that might be expected to kind of stay in that range but continue to improve profitability? Or what would it take to push to a new level, say, getting closer to double digits like in the past?
Steve Trundle: Yeah. I guess what I would say is you almost have to really have to decompose the consolidated number a little bit. And we've provided a little color on that where we, at times, have referenced the growth initiatives, Commercial EnergyHub International. Like last quarter, we indicated they were producing 26% of the SaaS and growing at around 25% annually. Then, Adam, as you know, I mean, the residential piece in North America with some of the headwinds we've discussed in the past, is a slower-growing business. So what you see is sort of a tale of two worlds. One, business that is more stable, probably pulling down the consolidated growth rate, that being the residential North America side. The other growing substantially, and the big if is how long will this sort of 20% plus growth hold up in the various growth initiatives? How long can we sustain that? Obviously, at some point, you know, as those businesses reach higher orders of scale, you could envision the potential for those contributions having more impact on the consolidated number than they are today. So that's kind of how I look at the growth rate. I think the second part of the question is sort of a philosophical one on what we think about operating margin. And we have shifted a bit to a posture of pushing more operating leverage into the business. We've moved up the EBITDA margins, I think, in the initial look for the year, at the first guide of the year, we're at, like, 19.4%, which is up from the prior year. So I think you'll see us continue to, as we're sort of in this current growth range, I think you'll see us continue to focus some on the operating margins and make some progress there.
Adam Tindle: Very helpful. Thanks.
Operator: Yep. One moment for our next question. Next question comes from Saket Kalia with Barclays. Your line is open.
Saket Kalia: Hey, great. Guys. Thanks for taking my question. And, Kevin, echo my welcome as well. Actually, maybe for you just along the lines of the last line of questioning and what Steve mentioned. Was wondering, Kevin, can you just remind us how for this quarter, for Q1, how big was sort of that emerging bucket and how fast did it grow this quarter? You know, I think Steve said 26% last quarter and grew 25. I can't imagine it's too different. But just to make sure we keep track of that because it is such an important part of the growth rate going forward, how did that look here in Q1?
Kevin Bradley: Sure. Yeah. As we mentioned, you know, EnergyHub had a pretty strong Q1. So I would say for the quarter, you know, maybe slightly bigger as a percentage of total revenue simply because of that overperformance. But growing at about the same clip as we had indicated in the prior quarter.
Saket Kalia: Got it. Yeah. No big quarter-over-quarter change there, but yeah. Yep. Understood. Understood. That's helpful. Steve, maybe for you just a bit higher level. It was great to hear about sort of the higher video attach internationally. I just wanted to get just kind of a state of the union a little bit on maybe, you know, one or two of your countries outside of the US. Maybe the question is, how do you feel about Alarm.com's position competitively in some of those markets? International maybe becomes a bigger part of the business in the future?
Steve Trundle: Yeah. Thanks, Larry. Yeah. The international markets are very competitive, much like the North American market. I think we're sort of earlier inning. We're probably in the third inning right now. And we're in the process of kind of moving from establishing the initial beachhead customers, which tend to be the larger service providers, brands people would know. And now we're doing some of the real hard work of building out the long tail of the dealer base, rest of the world. So one of the great things here about our North American business is we have a fairly distributed long tail of dealers who contribute every month. And internationally, we haven't had the bandwidth cycles, the attention necessarily to go down into the smaller service provider segments of these markets, and we're just sort of getting started on that. That will create some tension on what we have to do with the product and what we have to do with distribution to meet the needs of that longer tail, but that's, I'd say, what sort of a key part of our 2025 objective is to build out more of that tail. I would say, at a macro level, it's early innings. We're feeling pretty good about the growth. We continue to see international. It's growing faster than the domestic business. Particularly strong in Latin America and Europe. But as I noted, also very competitive, particularly on cost. You see a lot of products coming in from China and elsewhere that are super low cost, not as capable. Usually don't have a back end that enables a service provider to meet all the needs of a customer, but are there nonetheless. And thus far, we haven't seen a lot of change since the trade wars began. Hopefully, we don't see much change, but that's generally the state of things.
Saket Kalia: Super helpful. Thanks, guys.
Operator: One moment for our next question. Our next question comes from Samad Samana with Jefferies. Your line is open.
Billy Fitzsimmons: Hey, guys. This is Billy Fitzsimmons on for Samad. I just want to double-click on macro. Steve, you were clear about how you did not discern any material changes in account origination activity during the first quarter due to deteriorating consumer sentiment or recession fears. Just as we think about the outlook in the second quarter guide, were there any material changes in account origination or consumer sentiment in early April post the formal tariff announcements?
Steve Trundle: Yes. Good question, Billy. I mean, we do watch things very closely. I would say, the first two weeks of April looked a little different on the commercial side than the last two weeks of April to the extent, you know, we don't get too wrapped around the axle looking at week-over-week data, but we saw maybe the market take a breath and then sort of get back to business, and we really didn't see that on residential. We only saw that on commercial. So as we kind of finished out April and coming into this report, we felt that we're not really able to discern any meaningful macro change at this moment affecting things.
Billy Fitzsimmons: Got it. Helpful. And then, Kevin, I'll congrats on the CFO role, and you've obviously been at the company for a while and have worked closely with Steve and Kane for years. But just taking a big step back and very high level, what do you kind of view as your initial priorities as CFO?
Kevin Bradley: Yeah. Hey, Billy. Thank you very much. You know, my initial priorities, I think, are things like this, getting sort of more intimately familiar with speaking on behalf of the company to stakeholders. I think from an internal perspective, you know, as you said, I've been here for quite some time. You know, I know everybody, everybody knows me. You know, I think much of the work inside the company will sort of be business as usual, with the exception of maybe getting a little bit more familiar with some other aspects of the accounting team. But my primary focus right now is, you know, getting through earnings here and then sort of getting out and beginning to become a little bit more externally focused.
Billy Fitzsimmons: Perfect. Thank you both very much.
Operator: Our next question comes from Stephen Sheldon with William Blair. Your line is open.
Matt: Hey, everyone. You have Matt on for Stephen Sheldon. Thank you for taking my questions, and congrats on the new role, Kevin. I think you have said before that around 50% of new residential subscribers add video, with only around 30% of existing subscribers using video. And I was wondering if you could talk about some of the strategies your service providers may be using to drive higher video adoption among that existing customer base, especially since video can meaningfully expand ARPU.
Steve Trundle: Yeah. That's a good question. This is Steve speaking. I'd say at the moment, you know, it's probably a bit more of an opportunity than something we see the service providers uniformly focused on. You know, the great news is, yes, they're getting attached of greater than 50% on new installations. We're getting very high attach on video analytics there, which helps with ARPU and also the quality and the capability of the system being delivered to the consumer. The downside is that the dealers are, for the most part, relatively busy. They don't have a ton of additional tech capacity out that they can use to go back and do upgrades to existing accounts. So I haven't seen as much promotion as I would like of the video services back to the existing base. What I will say is we have some product pipeline. I think there's, you know, kind of a two-pronged fork. A tactic they can use is video today is just so much better than it was four or five years ago. So I think they can go back to customers that were created four or five years ago that are coming to the end of their contract term and offer to update them and upsell them into a video service plan if they renew their service contract with the dealer. And I would expect we can get more of our dealers to run that. Then on the product pipeline side, we're doing a product that we think will have some relevance to a growing body of residential customers. It will be a camera that is completely wireless and also battery-powered, which, you know, for a lot of use cases, traditionally, people haven't loved indoor cameras. Quite a few people do have cases where they want to put one camera in one room when they're traveling and then move it to a different room when they're leaving their pet at home, and that sort of thing. And that's been hard to do if you're, you know, primarily delivering a solution that needs to be plugged in all the time. So I think making, you know, getting that product to market later in the year will also help us kind of create a message to go back to that base and ideally drive some additional video upsell.
Matt: Got it. Thank you, Steve. That's helpful color on that front. And then just quickly on NRR. At a high level, would it be fair to assume that NRR roughly stays at this elevated level throughout 2025 under the assumption that home sales volumes remain subdued over the remainder of the year?
Kevin Bradley: You want to take that one, Kevin? Sure. Yeah. You know, that's not the way that we're currently modeling it. So we're modeling that that tailwind sort of was in Q1. We see it in place at least through April at this point. That's kind of what you saw a little bit in our Q2 guide lift. You know? But at this point, we're not assuming that it stays elevated at that level in Q3 and Q4. It may be the case that it will, but that's not what's baked into our outlook currently.
Matt: Okay. Got it. Thanks for clarifying that, Kevin. Thank you both.
Steve Trundle: Thank you.
Operator: One moment for our next question. Our next question comes from Darren Aftahi with Roth. Your line is open.
Darren Aftahi: Hey, thanks for taking my questions and congrats to Kevin as well. Look forward to working with you. Two, if I may. Just clarification on your SaaS guidance. You talked a lot about sort of that pause in April and then sort of business as usual. So I guess looking at those two spectrums, your SaaS guidance, like, where does that fall? Does it fall more on the business as usual side, or is there some conservatism built in that the wind kind of blows a different way if tariffs become a bigger issue? And then secondly, in the past, you guys have talked about education of your service provider base. On residential. Or commercial. I'm just kind of curious what the overlap is and if there's kind of an initiative to get more of your service providers to try and sell commercial just given the ARPU uplift and the growth you've been seeing there? Thanks.
Steve Trundle: Sure. Hey, Darren. Yeah. I think what is baked into our model currently is on the tariff stuff. We're really, aside from widening the range on the hardware, we're not modeling in a lot of impact there, and we feel pretty good having watched all of April that things are looking okay at the moment. We're not yet trying to guess what's going to come out. You know, if you go back to the initial presentation in the Rose Garden after liberation day, some of the tariffs that were presented were much higher than the baseline tariff that everyone's experiencing at the moment, which is 10%. So we're not attempting to predict what may come to pass in July, August, that sort of thing. But based on what we see today, we feel like demand is holding up. Things look okay. And then the second piece, that maybe is that element of conservatism in our guide is the model of somewhat of return additional revenue retention rate. So that's, you know, we may see that revenue retention remains elevated, that'll be positive for us. Your question about service providers on commercial, I mean, we still like the residential market, and it's a big market. So we don't want to be too quick to push everyone out of the residential market. Markets kind of move in ebbs and flows. We've seen through time there are years where residential is particularly strong, and there are years where SMB and commercial is particularly strong. And the best businesses are those that can kind of, you know, be advantaged by positive trends in one while the other might be a bit negative. So we think that the best place for most service operators to be is one where they have some diversity in their own business with, you know, 20, 30% of the business being commercial. And the, you know, 60% or so being residential. That said, there are an entire class of providers who really are commercial integrators, and that's all they do. And we do have a team focused on prospecting within that class. That's a class of service provider that we haven't, you know, through the years haven't had as much access to because we started in residential and moved more into commercial and SMB. So we are out there working hard to continue to expand into that class of service providers that are almost exclusively commercial.
Darren Aftahi: That's helpful. Thank you.
Operator: Yep. One moment for our next question. Our next question comes from Jack Vander Aarde with Maxim Group. Your line is open.
Jack Vander Aarde: Okay, great. Welcome to Kevin, and good to see the strong results and outlook, especially when many other companies are kind of hitting pause. So great to see. Steve, I know you guys don't provide an explicit total subscriber or connected property count. In ARPU, it's obviously increasing with strong attach rates. Can you maybe just speak in general to your installed base in North America residential? And in commercial. Are both of those actually growing in terms of new subscriber connections? And any impact from the home builder channel on subscriber growth in North American residential and commercial? Thanks.
Steve Trundle: Sure. Hey, Jack. Thanks for that. Yeah. I actually don't know the exact metric because it's not one that we're reporting. What's happened is the definition of what is a subscriber has evolved some. And in the commercial business, a subscriber can be a door or can be a video camera, and that camera may be with analytics producing the same ARPU as an entire home. We have subscribers on the EnergyHub side that are different in their profile. So we add all those numbers up. We get the number that's a little bit inconsistent with what we used to report, which is really a pure residential number. That said, both numbers are continuing to go up. The total number of subscribers continues to grow. We're not at a point where we're seeing a retreat on either the commercial or the residential side. So generally, the outlook is that both are increasing. The housing market has been a domain where we've had a bit of a headwind now for a couple of years. The elevated interest rates have reduced the frequency of moves, the frequency of new builds being permitted. Hasn't been the end of the world, but it has been a soft spot. That's been a headwind to new account creation for our service providers now for a couple of years. We don't necessarily see that changing this year, but it continues to be impactful. The positive aspect of that is that when people are not moving, when they're staying put, then we see some benefits on the revenue retention line.
Jack Vander Aarde: Okay. Great. I really appreciate the color there. That makes a lot of sense, especially on that kind of moving the definition of the lines get blurred with the definition of what a connected subscriber is as well. So appreciate that. And then just in general, I guess, you kind of touched on ADT a little bit. I don't want to go there specifically, but there's positive momentum in your channel. Sounds like there's positive momentum in your marketplace. Just any updates on the competitive landscape as it relates back to your guys' guidance that largely remains, you know, I would say, incrementally positive. So any impact on the competitive environment as it relates to your outlook? Thanks.
Steve Trundle: Sure. As it relates to, you know, ADT, we're still a partner with ADT. So we're not really seeing any, you know, we don't really think of them as a sort of a competitive factor, I would say. If we look at the broader market and think about, you know, what's going on, take that on the residential side. I think the thing that we pay a lot of attention to is just the proliferation of products coming across, you know, typically from Asia, that are directly sold to end consumers to solve some type of video need. There's no doubt that quite a few people are buying cameras off of TikTok, off of other sites at low cost. And, you know, the cameras are not as functional, not as capable, don't really provide real security. But I take nonetheless represents somewhat of a competitive threat that is monitored. So the good news, though, for our investors is this is no different than, you know, for the last decade, we've seen some entities selling video cameras direct to consumers at a lower price point, and we've survived that. We expect we'll continue to survive that. We think that the market is basically bifurcated into those who are serious about security and view security and video as an investment in their home. And then those that are looking for sort of a temporary, point solution. And we want to stay focused on the former set. Those are the better customers. They're the more profitable customers, and they're the ones that benefit the most from our service provider's attention. So in that domain, we're feeling, you know, pretty good, I would say.
Jack Vander Aarde: Okay. Fantastic. I appreciate the color. Thanks.
Steve Trundle: Thank you.
Operator: And I'm not showing any further questions at this time. As such, this does conclude today's presentation. You may now disconnect, and have a wonderful day.